Unknown Speaker: *
Peter W. Hutton - Statoil ASA: Good morning, ladies and gentlemen, and welcome to the Statoil Analyst Conference Call for the Third Quarter 2017. With me this morning, I'm pleased to welcome Hans Jakob Hegge, Chief Financial Officer; Svein Skeie, Head of Performance; and Ørjan Kvelvane, Head of Accounting. Hans Jakob will present the results for around 15 to 20 minutes. Then we will re-invite polling for questions and take Q&A for around 45 minutes, expecting to close the call around 12:30 CET. With that, I hand over to Hans Jakob to start the call.
Hans Jakob Hegge - Statoil ASA: So, thank you, Peter, and good morning, everybody. Thank you for calling in. This morning, we presented Statoil's third quarter results. And let me share some of the highlights from another strong quarter. Adjusted earnings before tax was $2.3 billion. The quarter is characterized by solid earnings and underlying cash flow, good operating performance and high production sold at higher prices, continued progress on our cost reduction and efficiency improvements. The IFRS result before tax was $1.1 billion impacted by $0.8 billion in net impairments. Reported net income was negative $0.5 billion. We are cash flow neutral at $50 including the scrip. Note that reported cash flow from operations in third quarter was impacted by $0.5 billion of cash outflow related to FX movements on derivatives, which is mainly offset at group level and does not impact the gearing. We will cover this in more detail on a later slide. Before we go into the results in detail, have a look at this picture. It shows the Aasta Hansteen topside, the world's largest SPAR platform on its way to Norway from South Korea. The field will start producing in 2018. We have increased reserves and once Snefrid Nord is tied to Aasta as a satellite in 2019, this will result in a further value creation. We have good progress on Johan Sverdrup, and this quarter, we reduced the CapEx by another NOK 5 billion to NOK 92 billion for Phase 1. We have also started electricity production from the Dudgeon and Hywind project offshore UK and we took a first step into solar energy in Brazil. Then to the macro. There has been a strengthening of oil and gas markets and we are heading towards a rebalancing in the oil markets, and we see firmer gas prices compared to last year. However, oil and gas prices continued to be volatile with uncertainty linked to the prolonging of production curtailments among the OPEC members, the production level realized from unconventional U.S. and geopolitical uncertainties. We adjust our medium-term price expectations somewhat this quarter. We previously assumed an oil price of $75 per barrel in 2020. We now assume $75 per barrel in 2022. Our fundamental oil price view remains the same. We're seeing increasing demand taking inventories closer to balance. We have seen underinvestments in new oil supply for three years and we believe in an uptick in the prices going forward. Statoil has been an active explorer in 2017. During the first three quarters, we completed 22 exploration wells and made 11 discoveries. Some of these discoveries can be tied into producing fields rather quickly. In the Barents Sea, we completed a very efficient five-well campaign and made the Kayak discovery, adding volumes to Johan Castberg. The value of the Kayak discovery alone pays for the entire campaign in the Barents Sea. We also collected valuable information for next year's campaign and we continue to replenish our exploration prospect inventory. The three main takeaways this quarter are solid earnings and underlying cash flow, good operational performance and high production sold at higher prices. Expected production growth in 2017 is increased from 5% to around 6%, and due to good progress in our field development project portfolio continued capital discipline as well as to further improve the efficiencies, we are reducing our CapEx guidance for this year from $11 billion to around $10 billion. In sum, Statoil is doing a lot more for less. We cover our investments and dividend at $50, as communicated at the Capital Markets Update. We have made the company more resilient and better positioned for further recovery in the oil price. As noted earlier, our IFRS result before tax is reduced by net impairments. We have made impairments and reversals. Based on asset market reviews, operational asset reviews and the effects of price changes, the net sum of impairments and reversals is $0.8 billion negative. The largest impairment of $0.85 billion is specifically on Eagle Ford. This was triggered by lower than expected production volumes, but the impairment in itself is calculated based on our market valuation. As you would know, there is volatility and uncertainty in a valuation and we have, therefore, used an independent third party in this case. Remember, we have made impairments and reversals. In fact, since fourth quarter 2015, on Eagle Ford, we have made reversals of $0.6 billion. We are working hard on an improvement plan for the asset. Our other U.S. onshore assets are not affected. Then to the dividend. The Statoil Board of Directors has decided to maintain the dividend also for this quarter at $0.221 (sic) [$0.2201] (00:07:26) per share with a 5% discounted scrip dividend option. We have run the scrip program in a predictable way. Third quarter 2017 is the last quarter of the program and we have no plans for an extension or a new program. From fourth quarter 2017 onwards you should have the expectations that we will return to full cash dividend with no scrip option. Then to Safety. Statoil's Serious Incident Frequency, the last 12 months, was 0.7 per million hours worked. This is down from 0.8 in the last quarter. Safety is and will always be Statoil's top priority. We continue executing our safety improvement agenda to further improve Statoil's safety record. Let's now have a look at the third quarter and year-to-date financial results. We delivered a solid $2.3 billion in adjusted earnings before tax this quarter. This is up from $0.6 billion for the same period last year. The key levers behind our third quarter earnings are good operations with high production and regularity capturing higher realized prices. Adjusted earnings after tax was $0.8 billion compared to a loss of $0.3 billion in the third quarter last year. The tax rate in the quarter was 65%. We realized on average liquids price of $47 per barrel, an increase of 18% compared to third quarter last year. Realized European and North American natural gas prices were also higher in the third quarter by 8% and 11%, respectively. Statoil's OpEx/SG&A costs measured in underlying currency have been further reduced by 11% per barrel compared to the same period last year. Now, let's have a look at the segments. E&P Norway delivered an adjusted earnings before tax of $2 billion. This is a doubling of the result delivered in the same period last year. Our improvement agenda continues to yield good results. This quarter, we delivered the highest third quarter production since 2009. In addition, we utilized our flexibility to produce more gas at higher realized prices. Also in the quarter, we had fewer planned turnarounds compared to last year. This resulted in an underlying production growth of 27% compared to third quarter 2016. The underlying OpEx/SG&A costs are at the same level as in the same quarter last year, even if we add the new producing fields. On a per barrel basis, we see a reduction of 18% measured in NOK. Liquids prices were 16% higher and the internal gas transfer price 59% higher. Our liquids production increased by 8% and the natural gas production by 48%. E&P International delivered adjusted earnings before tax close to zero compared to adjusted earnings of minus $0.6 billion in the same period last year. E&P International delivered an underlying flat production year-on-year adjusted for changes in the portfolio. Higher prices and lower exploration costs contributed to the improvement. The cash flow per barrel after tax from E&P International is strong at around $18 per barrel on par with NCS. And year-to-date, E&P International has delivered positive adjusted earnings of $1.1 billion. Our MMP segment delivered strong pre-tax adjusted earnings of more than $0.4 billion compared to $0.3 billion in the third quarter last year. The increase in earnings is just a strong liquid trading results, higher margins and strong regularity at our refineries. The increase was partly offset by a price review arbitration award. Then to the production. During the quarter, Statoil's total average liquids and gas production was 2.045 million barrels of oil equivalents per day. This is up 240,000 barrels per day year-on-year. On the NCS, uptime was high. This combined with IOR and new wells largely offset the natural decline. Important incremental production volumes were added by increased production of flexible gas volumes at higher prices mainly from Troll. Compared to last year our turnaround activities this quarter resulted in lower production losses. Finally, ramp-up of production from new fields like Gina Krog, Ivar Aasen and Byrding on the NCS, and increase production in the Gulf of Mexico contributed significantly. Early in 2017, we guided that Statoil would be cash flow neutral at an oil price of $50 per barrel, including our dividend program based on organic investments. With an oil price just below $52 per barrel, during the first nine months, we can report solid year-to-date progress with free cash flow of $3.6 billion. The organic free cash flow in the third quarter was around zero. Our net debt ratio is 27.8%, on par with last quarter. The figure reported for cash flow from operations in the quarter was impacted by $545 million related to FX movements on financial derivatives. We optimized interest charges through derivative instruments and these may not be in USD, so we hedge these, so there is no FX risk. Any movement in the USD, EU shows on operating cash, but equal opposite effect in cash is shown elsewhere on the cash flow statement mainly in cash flow from investments. This is difficult to see directly, but explains why operating cash flow may seem below some expectations. Net at group level, no impact on overall cash flow on the gearing. So let me close with a few comments about our guiding. As I mentioned in my introduction, we are adjusting our 2017 CapEx guiding downwards from $11 billion to around $10 billion. This is due to excellent project execution, efficiency improvements, cost reductions and strict capital discipline. The increase of production growth from 5% to around 6% in our guidance. The average annual production growth rate during 2016 to 2020 is unchanged at around 3% per year. Our 2017 exploration expenditure is unchanged at $1.3 billion. In closing, please make a note that Statoil's Capital Markets Update will take place in London, February 7, 2018. Thank you for attention. I look forward to questions and Peter will guide us to it.
Operator: Thank you, Hans Jakob. With that, I'll pass the event back to the operator who can explain the process for polling for questions. Thank you.
Operator: Thank you. We will now take our first question from the Theepan Jothilingam from Exane BNP. Please go ahead. Your line is open.
Theepan Jothilingam - Exane Ltd.: Yeah, hi, good morning, gentlemen. I just want to come back to the cash flow, if that's possible please, and thank you for the clarification on the FX impact on – from derivatives. I wanted to perhaps just come back to cash taxes in previous guidance. Could you just update on where you see cash tax guidance going forward, perhaps both – between the Norwegian piece and also International E&P? And then just to bridge the gap, therefore, to Q4 cash flows. Thank you.
Hans Jakob Hegge - Statoil ASA: Okay. Thank you, Theepan. So, let me just take one step back on the cash flow. As I said, we're neutral at $50. So, this is in line with our guiding, $3.6 billion, positive year to date. In the third quarter, the organic cash flow to investments and derivatives is an important explanation. In the first half of this year we had $2 billion in the deferred taxes and $1 billion on CapEx. If you look at third quarter versus the second quarter on the operating activity, it's minus $400 million. The derivative is 0.5% and taxes is 0.45%. So, on this P&L tax versus cash taxes, the P&L tax was $1.4 billion, the taxes payable, $1.5 billion. So, there is a negative deferred tax of around $100 million. We paid $1.6 billion in taxes in the third quarter, and of those $1.2 billion were in Norway. If you look at the fourth quarter, we will have two tax payments each of $1.2 billion, only one we had this quarter. So, we still have free cash flow for the year and we continue our efforts.
Theepan Jothilingam - Exane Ltd.: And was there any particular higher cash tax in International?
Hans Jakob Hegge - Statoil ASA: Svein, you can go into the International segment.
Svein Skeie - Statoil ASA: As Hans Jakob said, we paid $1.2 billion in the Norway and you see the total then of around $1.6 billion there. On the International segments it will vary between the quarters, it's also then related to several of the countries that we are in, where we are then paying taxes or – so it varies a bit – between the quarters, so no major changes.
Hans Jakob Hegge - Statoil ASA: Yeah. And if you look at what we actually paid, on the International, the tax on the adjusted earnings were $51 million versus – compared to the third quarter last year it was $121 million so it was lower this quarter.
Peter W. Hutton - Statoil ASA: Okay, we move to the next question.
Operator: Our next question comes from Biraj Borkhataria from RBC. Please go ahead. Your line is open.
Biraj Borkhataria - RBC Capital Markets: Hi, thanks for taking my question. It was on the Eagle Ford. Could you just give some more details on that impairment and some more color around that asset? Is this a localized issue in certain acreage that you have or is it an asset level issue? And could you talk a little bit about recovery rates and how things have changed against your expectations because it does look like quite a significant shift? Thank you.
Hans Jakob Hegge - Statoil ASA: So thank you Biraj. So the history we're coming from is that both in this quarter and in previous quarters, we've had impairments and reversals. And the largest one in this quarter is Eagle Ford. So, this is due to the trigger of reduced production rates. As part of the industry, we started a year ago to do tighter well spacing 200 feet to 250 feet. We had great faith in this measure of course, so we actually reversed based on the plans and the indicative results, that didn't turn out to be as favorable as we hoped for. So we have, of course, stopped that practice and are changing it. This is an Eagle Ford issue as it has been for the industry with tighter well spacing. So based on that, we did a valuation, third-party market assessment and we have started working out an improvement plan. So, we have moved from 200 feet to 250 feet well spacing to 500 feet. Very early days, too early to conclude, but the indicative result so far is in the positive direction. So, this is something we will come back to. So, as I said, there is uncertainty in valuation and reserves. So that's why we have these changes.
Biraj Borkhataria - RBC Capital Markets: Great. That's very helpful. Thank you.
Operator: Our next question comes from Oswald Clint from Bernstein. Please go ahead. Your line is open.
Oswald Clint - Sanford C. Bernstein Ltd.: Thank you very much. Good morning. Maybe just on the CapEx, the reduction, perhaps you could go into some examples of where you're actually getting more for less, it sounds impossible certainly over the last nine months to actually cause that reduction. And maybe also can we expect that similar saving to flow into 2018? And then second question, just quickly, I was curious if you can give us some numbers on the uptime or the regularity that you're speaking about, maybe so far in 2017 versus the same time period last year, if possible, please? Thank you.
Hans Jakob Hegge - Statoil ASA: Okay. Thank you for the question. So on the CapEx, this is very encouraging to see because we have more than 30 development projects and we see small pockets of improvements across the board. This is what we call the cultural component. The obvious example, of course, from this quarter is the continuation of the improved world-class performance of Johan Sverdrup, taking it on another $5 billion this quarter to a $92 billion. This is, as you know, a very big project, many elements, many moving parts, 60% completion rate on the project and they just continue. So, this is very encouraging. The other clear examples over time has been the drilling in the well area where we are drilling faster, more cost efficient, less time, fewer mistakes. So, these are very strong contribution. In terms of 2018 on CapEx, that's a natural theme for the Capital Markets Update, we will revert to that. On the production efficiency and uptime, we see very high regularity on the NCS. Also on Peregrino for the quarter, we typically talk about uptime cost by not only very sound operational judgment by our people offshore, but also very good execution of the turnarounds, fewer unplanned losses. So this is really a strong performance adding to the strong production in the quarter.
Oswald Clint - Sanford C. Bernstein Ltd.: Okay. Very good. Thank you.
Operator: Our next question comes from Lydia Rainforth from Barclays. Please go ahead. Your line is open.
Lydia Rainforth - Barclays Capital Securities Ltd.: Thank you very much. I have two questions, if I could, hopefully both are very simple. Just to go back to the cash flow from ops in the $500 million that you were talking about Hans Jakob, (00:25:58) is that something that was just one-off related to the FX rate or is it something else that means that the cash flow will constantly be switched between the CFSO and the CFO, that will be in the investment lines within that. So, I just wanted to make sure, it is just one-off this quarter. And then the second one, it was about the use of flex gas, in terms of what was a good production number in 3Q. Are you utilizing that flex gas capacity in the fourth quarter as well? Thank you.
Hans Jakob Hegge - Statoil ASA: So, to the last one, Lydia, probably for the fourth quarter the flex gas, this is winter season, normally high demand. We have the power, we also have the increased permit on Troll to 36 giga. So this is likely to be used and taken into account also when we say around 6% production. On the first one, they will vary quarter-on-quarter. This quarter, it is FX. So, it depends on your view on FX and fluctuations in that.
Lydia Rainforth - Barclays Capital Securities Ltd.: Okay, understood. Thank you.
Operator: Our next question comes from Theodore Nelson (00:27:20). Please go ahead. Your line is open.
Unknown Speaker: Good morning, and thanks for taking my questions. First, another question on CapEx. It's like the updated CapEx guiding of $10 billion – is that sufficient to support the 3% growth up to 2020 excluding any potential cost inflation effects? And then, my second question is on – another one on Eagle Ford, and it definitely makes sense that the changes you have made to the book value there. But how much have you changed the assumed production level going forward?. Thanks.
Hans Jakob Hegge - Statoil ASA: Okay, Theodore (00:28:05). So, on the CapEx, $10 billion sufficient to support 3% growth, yes. And no changes to the growth rate and we think this is sustainable. On the Eagle Ford, our production guidance for this year takes into account all the changes in the portfolio. It doesn't give a level of detail specifically on Eagle Ford or the U.S. But it was a high production in the quarter in the U.S. A combination of ramp-up in the Gulf of Mexico, but also significant contributions from the onshore, particularly Bakken and Marcellus produced very well. And, since we are into a phase now with improvement work on Eagle Ford, I think this is a topic that we will revert to on the implications for onshore. But let there be no doubt that our production guidance from around 6% is an increase and we have changes because we think we are likely to reach it.
Unknown Speaker: Okay. But just another one on the Eagle Ford. Is it possible to indicate somewhat like a range of the reduction from – for estimated production, are they down 5% or down 50% compared to your previous plans?
Hans Jakob Hegge - Statoil ASA: No range today.
Unknown Speaker: Okay, that's right. Thank you.
Operator: Our next question comes from Alastair Syme from Citi. Please go ahead. Your line is open.
Alastair R. Syme - Citigroup Global Markets Ltd.: Hi, good morning. Can I ask about the revision to the medium-term oil price that you've made. OPEC is active to certainly oil market this year. So, I wondered what made you change or delay your $75 view by two years. And can I also ask what the $75 view is based on? Why is it not $60 or $90?
Hans Jakob Hegge - Statoil ASA: Very simple answer to that. This is complex, but simple answer, more cautious view. But still $75...
Alastair R. Syme - Citigroup Global Markets Ltd.: Is there a...
Hans Jakob Hegge - Statoil ASA: ...$75 is unchanged and it's a two-year deferral. Due to some of the resilience that could potentially come from the onshore part, it hasn't been overly strong the production from the onshore, but it still has the capacity we think. The development in the storage levels, yes, they are coming down, they're coming into our rebalancing of the market. But just a more cautious view on – it might take some time to reach the $75.
Alastair R. Syme - Citigroup Global Markets Ltd.: So a view essentially of the U.S. shale comes back into the market a little bit more aggressively, is that what it takes to reach?
Hans Jakob Hegge - Statoil ASA: So to reach the $75, we also need a conventional production kicking in, and we had three years of it under investment. So, we still have a firm view on the oil price going to go up over time.
Alastair R. Syme - Citigroup Global Markets Ltd.: Okay. Thank you very much.
Operator: Our next question comes from Rob West from Redburn. Please go ahead. Your line is open.
Rob West - Redburn (Europe) Ltd.: Yeah, hi. Thank you very much. I'd like to ask two, please. One is on the different shale basins in the U.S. Could you give us a sense of how you are in terms of free cash flow with within those basins. So, are they absorbing cash and – or something like the Bakken, is that getting towards more cash generating position? And really the reason I was wondering is in the Eagle Ford, you talked about the impairments there that are typically non-cash. But I was wondering are there any one-off extra cash flow hits from what some of your competitors called things like train wreck wells with that tighter down spacing in Eagle Ford and whether there's some extra CapEx that will drop out and not be spent going forward? Second one, just really quick, was something elevating your depreciation rate in Norway in the quarter, because normally when Troll ramps up as it does, you expect its depreciation to go down, but it stayed pretty high. And so I was wondering if you comment on that. Thank you.
Hans Jakob Hegge - Statoil ASA: Okay. Thank you for those questions. So, on the shale in the U.S. and the cash flow, what we say is on the International it's on – on par with NCS, overall. Remember, we have given figures on wells with the competitive breakeven and we've also given ambitions for cash generation of $12.5 and we have good progress on this program, which we call the 90 to 50. So, on the well spacing and the change of CapEx, it's too early to conclude, we have changed the well spacing to a wider space of 500 feet, but we haven't grown to say any change in the CapEx related to the changes, it's too early. On the DD&A, this was Norway, right? So, in Norway, it's minus 5.5% per barrel year-on-year. Remember, we have a new barrels like Gina, Byrding, Ivar Aasen, they are $140 million, if you look at contributions and the FX is around $60 million, so there is $200 million related to that.
Rob West - Redburn (Europe) Ltd.: Okay. I guess that's clear. It's maybe also the FX is contributing there as well.
Hans Jakob Hegge - Statoil ASA: Yeah, around $60 million.
Rob West - Redburn (Europe) Ltd.: Thank you. That's helpful.
Operator: Our next question comes from Jon Rigby from UBS. Please go ahead. Your line is open.
Jon Rigby - UBS Ltd.: Yes, hi. So take the point about the increasing guidance for production for 2017, but also note that you've not changed the medium-term guidance. So I just wanted to look a little closer at this increased gas production in the third quarter. Are you able to then characterize the quarter in terms of what was just – you taking opportunity what you think was unusual demand characteristics in the quarter, and what you think may be somewhat more structural? And if there is some kind of uptick in structural demand in continental Europe and the UK, is or does your portfolio technically, and from a license perspective, allow you to run at higher rates over the next two to three years and is currently envisaged in your production guidance, which will be more consistent with your 2017 performance. Thanks.
Hans Jakob Hegge - Statoil ASA: So thank you, Jon. To the last part, yes, our portfolio allows us. Remember, we have the increased permit on Troll 36 giga from fourth quarter and we're ready to use it. So, to the first part on unusual demand versus structural demand, UK is, of course, an example, you gave it yourself replacing coal with gas. We also saw a quite high demand in Europe, warm weather boosted gas to power. We saw fairly low storage levels into our strong gas production in the quarter, we also saw some deferred volumes from 2016. The EU gas prices were up 8%, and in addition with increased production permit for fourth quarter, we actually see some bullish pricing those for the EU gas for the rest of the 2017. I didn't mention the storage or rough and the capping of Groningen. So this taken into account, we have a quite optimistic view going forward. And yes, we have the capacity.
Jon Rigby - UBS Ltd.: So just to confirm when you set out your medium-term view last year, it was a mix of what you could technically produce and what you thought the market would technically or would want and you sort of plotted across between those two numbers.
Hans Jakob Hegge - Statoil ASA: Yeah.
Jon Rigby - UBS Ltd.: Is that a good way of thinking about it?
Hans Jakob Hegge - Statoil ASA: Yes. You're right.
Jon Rigby - UBS Ltd.: Yeah. Okay. Thank you.
Operator: Our next question comes from Brendan Warn from BMO Capital Markets. Please go ahead. Your line is open.
Brendan Warn - BMO Capital Markets Ltd.: Yeah. Good morning, gentlemen. Thanks for the opportunity to ask the question. Most have been answered, but I just wanted to look at 2018, Hans Jakob, just you've still got quite a stubbornly high gearing. You've made note that you've got allowance produced more from Troll, but I just remember seeing something that 2018, we're expecting higher annual sort of turnarounds. Can you sort of talk through – obviously, we're going to have higher cash taxes in 2018 because of the oil price this year, you're moving to a full cash dividend in 2018, just the expected impact to your gearing level, if you're expecting that to actually tick up in 2018 at sort of current oil price levels or what you're looking to do to arrest some of that dead issue?
Hans Jakob Hegge - Statoil ASA: Okay. Thank you, Brendan. So, on the gearing, we maintained it flat in the quarter, still below 28%. Turnaround activity next year, yeah, it is higher than this year but we will come back to the specifics on that one. Increased prices, more taxes, you're right. Cash dividend, you're right. Remember, we have reduced the annual expenditure and the improvements of $3.2 billion, adding another $1 billion this year. We are fostering a culture of continuous improvement. We expect to see across the board further improvements. We are not stopping by any means. We have digital – more than digital – 30 digital pilots; we haven't talked a lot about those. So many things to look forward to, I think.
Peter W. Hutton - Statoil ASA: Can we move to the next question?
Operator: Our next question comes from Christyan Malek from JPMorgan. Please go ahead. Your line is open.
Christyan F. Malek - JPMorgan Securities Plc: Hi. Good morning, gentlemen. Thanks for allowing to ask question. Three questions. First, just – I know you talked about $10 billion being sort of the updated guidance. Can you just confirm that's going to be your medium-term outlook on CapEx and there's no upside risk to that, particularly with a slightly more bullish view on oil prices, relative to where the forward curve is, I'm surprised it stays at $10 billion. Now, the second question is regarding, sort of the approach of derivative instruments in your cash flow, clearly given the negative reverse into Q3, I just wanted to understand how we think about that in the context of your cash flow going into Q4 particularly as tax installments go up. It was strong in the first half, it didn't seem to be netted out of cash flow and now it is being netted out. The third question is regarding the switch-off at scrip, is it too early to ask you whether there is a view or discussion around the board on whether you look to neutralize or buyback in 2018?
Hans Jakob Hegge - Statoil ASA: Okay. Thank you. So on the on the last one, this will be part of our CMU communication in February. On the derivatives, this is a one-off. And on the $10 billion CapEx, medium-term outlook, unchanged.
Christyan F. Malek - JPMorgan Securities Plc: Very clear. Thank you.
Operator: Our next question comes from Hamish Clegg from Bank of America. Please go ahead. Your line is open.
Hamish Clegg - Bank of America Merrill Lynch: Hi, there. Thanks a lot. A couple of quick ones. First of all, could you give us a tiny bit color on what we can expect in international exploration in the fourth quarter? We saw a bit of a tick up this quarter and to hit your guidance, see that somewhat higher than the first half of the year. Also, this is a long shot. If you brought your guidance down to $10 billion for this year, you're guiding $11 billion for the two-year period. Should we be forecasting a higher number next year to account for all those projects like Johan Castberg that you're intending on FIDing. Can we see a slightly busier FID pipeline? They are my two. Thanks.
Hans Jakob Hegge - Statoil ASA: Thank you, Hamish. So on the last one, no, not higher CapEx for 2018, but we will revert to the CapEx for 2018. So you cannot interpret it as a significant change from this year. It's something we will revert to. On the International exploration guidance, so we keep it unchanged activity level of $1.3 billion for the year and we have said that we would do around 30 wells. We haven't given any changes to that. We had several discoveries that could be tied in. There will be wells around year end which has not been completed.
Hamish Clegg - Bank of America Merrill Lynch: Yeah.
Hans Jakob Hegge - Statoil ASA: So, there is no change as such on the guidance and most of the wells would have been drilled and we don't expect any major changes. That's why we keep the guiding unchanged.
Hamish Clegg - Bank of America Merrill Lynch: And, tiny follow-up. When we hear about the Brazilian licensing rounds. Can we expect that to be fed into the CMU or might give us a little bit of color kind of post that announcement, I'm guessing it will be at some point on Friday?
Hans Jakob Hegge - Statoil ASA: That would be a part of our CMU.
Hamish Clegg - Bank of America Merrill Lynch: Okay, cool. Thanks a lot.
Operator: Our next question comes from Anne Gjøen from Handelsbanken. Please go ahead. Your line is open.
Anne Gjøen - Svenska Handelsbanken AB (Norway): Thank you for taking my question. Two questions, if I may. First, on page number 5. E&P Norway 18% cost reduction per barrel. Could you comment something on the cost level next quarter and into 2018 as well. And on the same slide, MMP natural gas impacted by price review. Could you comment – give a bit more flavor on how much the impact is of that review? Thank you.
Hans Jakob Hegge - Statoil ASA: So, on the first one, on the E&P Norway, you're absolutely, right. We're still getting cost improvements. On group level, the OpEx/SG&A is down 11% in the third quarter and then in E&P Norway it's 18% as you said, year-on-year per barrel. We see fuel cost down year-on-year and we also know that cost per barrel will vary with the production mix. Typically, towards the end of the year, you would see higher levels of gas produced and with an increased permit. That gives an indication of the development. But in this quarter we added significant volumes from Gina, Byrding, Ivar Aasen. So the production mix is also part of this. But, remember, NCS is now at a 10-year-low on costs.
Operator: Our next question comes from Anish Kapadia from TPH. Please go ahead. Your line is open.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Hi. First question was on the balance in your portfolio of short cycle U.S. onshore, versus longer cycle, following this the downgrade in Eagle Ford. Just wondering how do you see that balance at present? And would you be more inclined to make acquisitions U.S. onshore or outside of that space? And just kind of related to the Eagle Ford downgrade, I think there's some concern in the market over your relatively low reserve life. I'm guessing that's going to fall further on the back of the Eagle Ford downgrade to reserves. So just how you're kind of thinking about that reserve life within that context as well? And then just one quick clarification, based on kind of current oil prices, is it fair to assume that your cash tax payable in 2018 will be about $2 billion to $3 billion higher than in 2017? Thank you.
Hans Jakob Hegge - Statoil ASA: Okay. So, I'll start with – on the second question before I go over to you. So excuse me for that, but on the price review, it is significant, but it's less than $100 million in the quarter. So then to your three questions, the onshore M&A, well, unfortunately, I have no announcements on M&A either onshore or offshore today. We have an opportunistic view on M&A we have had in the past, so we'll talk about it if and when something happens. In terms of reserve life, on a portfolio level, we like to talk about the next generation portfolio with an excellent breakeven, it's $27 on average, short payback time 2023, IRR 20%, you heard me say this before. So we're not worried about that. On Eagle Ford, this is part of what we are assessing based on the change and the improvement work we're doing. On cash tax going forward, I leave that to Svein Skeie.
Svein Skeie - Statoil ASA: On cash taxes, remember what we said for the first half of this year, if – then we had the benefits then from the oil price level and gas price levels from 2016, and we said that for the first half, that it has an impact of approximately $2 billion. So, it will be dependent on the price. (48:33). Now, in second half, we are paying the cash taxes on NCS based on the prices that we're currently seeing.
Hans Jakob Hegge - Statoil ASA: Yeah. And I said that we paid $1.6 billion in taxes in this quarter and that was $1.2 billion related to the first tax installment 2017 Norway. I also said I think that we will have two tax installments, $1.2 billion each in the fourth quarter.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Thank you.
Operator: We will now take our next question from Marc Kofler from Jefferies. Please go ahead. Your line is open.
Marc Kofler - Jefferies International Ltd.: Hi there, everyone and thanks for taking my question. Just two left please. Hans Jakob, a few weeks ago you talked about CapEx rising slightly to 2020 from $11 billion in 2017. So I just – it is still not 100% clear on my mind, if that's now rising slightly from $10 billion in 2017 or if 2018 number is still premised off that rising slightly of $11 billion this year. And then, could you also just give a bit more color around the trajectory on volume growth out of the U.S. year-end? Thanks very much.
Hans Jakob Hegge - Statoil ASA: So, thank you, Marc. On the volume growth, U.S. towards the year-end, if you look where we're starting, we continue to look closely at the economics before we raise activity. At the moment on the onshore, we have the five operated rigs and four completion crews, two in Bakken. Onshore has increased year-on-year with new wells in Bakken and Marcellus, non-operated due to improved basin prices. And in the Gulf of Mexico, we are up year-on-year on the Heidelberg, Tahiti, Julia and seven new wells. So that's the starting point. So offshore, we have increased production. Onshore, we will assess it based on cautious economic considerations. But bear in mind that our guiding on production for the group has been raised to around 6%. On CapEx going forward, I think this is a natural theme for the Capital Markets Update in February.
Marc Kofler - Jefferies International Ltd.: Okay. Thank you.
Operator: Our next question comes from John Olaisen from ABG. Please go ahead. Your line is open.
John A. S. Olaisen - ABG Sundal Collier Holding ASA: All my questions have been taken. Thank you.
Operator: We will now take our next question from Iain Reid from Macquarie. Please go ahead. Your line is open.
Iain Reid - Macquarie Capital (Europe) Ltd.: Yeah. Hi, guys. Just another question on CapEx, maybe you can answer this one. The Brazil Pre-Salt License rounds, as was previously mentioned that's closing tomorrow. You're going to be awarded North of Carcará, which has got a signature bonus of BRL 3 billion. So, are you going to take your share of that in the fourth quarter or is that going to be a 2018 item? Thanks.
Hans Jakob Hegge - Statoil ASA: So, the day before the bid closes, I won't make any comments on Brazil. I will have to revert to them.
John A. S. Olaisen - ABG Sundal Collier Holding ASA: Okay. Well, can I ask just another quick one then? When you gave out answer about cash taxes in 2018, I couldn't hear the answer, because there was a lot of interference on the line. Do you think you just repeat the answer to that, few minutes ago?
Svein Skeie - Statoil ASA: I could comment on it. Sorry for that not coming to let you through. I just commented on the taxes that we had in first half of this year, where we said that those had the benefits from the price level in 2016 and then estimated that to be around $2 billion in the first half in lower taxes compared to, if we have paid the taxes based on $27 prices – on $27 (00:53:19) production. So this...
John A. S. Olaisen - ABG Sundal Collier Holding ASA: Oh, okay. Yeah, $2 billion, yeah.
Svein Skeie - Statoil ASA: So, this quarter...
John A. S. Olaisen - ABG Sundal Collier Holding ASA: Okay. Thank you very much.
Peter W. Hutton - Statoil ASA: Okay. Thank you everybody. I think that's the end of the questions. I just like to thank all the participants both on the call and here in the room in Oslo. Just as a reminder, we have our fourth quarter earnings and Capital Markets Day as Hans Jakob said on the 7th of February and look forward to meeting you then, and of course engaging with you. Before then, any other questions, as always, please direct them through to Investor Relations. Thanks very much.